Operator: Welcome to Bed Bath & Beyond's fiscal fourth quarter and fiscal year 2007 results conference call. (Operator Instructions) Now at this time I would like to turn the conference over to Ron Curwin, Senior Vice President of Investor Relations of Bed Bath & Beyond. Mr. Curwin, please go ahead.
Ronald Curwin: Thank you and good afternoon. Welcome to Bed Bath & Beyond's fiscal fourth quarter and fiscal year 2007 conference call. Within the past hour, we issued a press release announcing Bed Bath & Beyond's results for the three and 12-month fiscal periods ended March 1, 2008, a 52-week year. You may recall that last year, fiscal year 2006, consisted of 53 weeks and that the fiscal fourth quarter of that year was a 14-week period. During this call, we will review fiscal fourth quarter results. We will also provide our initial guidance for fiscal 2008, which will be a 52-week year ending on February 28, 2009. Before proceeding, I will read the following statement, and I quote: Bed Bath & Beyond's fiscal fourth quarter 2007 press release and comments made during this call may contain forward-looking statements within the meaning of Section 21-E of the Securities Exchange Act of 1934 as amended. Please refer to Bed Bath & Beyond's SEC filings, including its Form 10-K for the year ended March 3, 2007 and the forms 10-Q and 8-K filed by the company since that date. The company does not undertake any obligation to update its forward-looking statements. And that’s the end of quote. Leonard Feinstein, Co-Chairman of Bed Bath & Beyond, leads off today’s call. Steven Temares, Chief Executive Officer and a member of the board of directors, will follow Len. Some additional financial commentary will conclude today’s call. I am now very pleased to introduce Leonard Feinstein. Len.
Leonard Feinstein: Good afternoon. Our press release issued within the past hour showed that our company earned $0.66 per share in the  fiscal fourth quarter and $2.10 per share in the fiscal year ended March 1, 2008, compared with earnings per share of $0.72 and $2.09 in the prior year’s fiscal fourth quarter and full year, respectively. As we have previously discussed, the fiscal 2006 results included an additional week and reflected a fourth quarter non-recurring charge of approximately $0.07 per share. As we said in our last conference call on January 3rd, we are not immune to the challenges presented by the difficult macroeconomic conditions which persist. Although we are never satisfied and always look to do better, we are pleased with our performance for the fiscal fourth quarter and full year 2007 and we will continue to base our actions on what is prudent under the circumstances and what is in the best interest, both near term and over the long-term of our company, our customers, and our shareholders. We believe strongly that fiscal 2008, despite the challenges, represents an opportunity for Bed Bath & Beyond to further expand its market share by capitalizing on our numerous strengths, investing in our infrastructure to support our long-term success, and most importantly by providing a superior shopping experience for our customers in each of our retail concepts. During fiscal 2007, we added 66 new Bed Bath & Beyond stores, bringing to 881 the number of stores operating at fiscal year-end, located in 49 states and the District of Columbia, Puerto Rico, and Canada. In the fiscal fourth quarter, we added 22 Bed Bath & Beyond stores, including our first international store in Canada. Also at fiscal year-end, we operated 41 Christmas Tree stores, nine buybuy BABY stores, and 40 stores under the names Harmon and Harmon Face Value. Consolidated store space as of March 1 2008 was approximately 30.2 million square feet. We also opened and commenced operations of a new state-of-the-art Christmas Tree Shops distribution center, as well as a new e-service fulfillment center designed to accommodate the growth in our online sales. In addition, we purchased a building next to our corporate offices in Union, New Jersey, to support our continuing growth. We remain on target to operate in excess of 1,300 domestic Bed Bath & Beyond stores. Despite the current economic environment, we anticipate opening approximately 50 to 55 locations throughout the U.S. and Canada in fiscal 2008. We also plan to add fine china and Harmon Face Value departments within certain of our Bed Bath & Beyond stores as well as expand, renovate, or remodel a significant number of existing stores in order to improve their productivity. We are very pleased with the performance of our first international store and have signed or are in final documentation for approximately a dozen additional sites in Canada and are actively negotiating another dozen or so as we look forward to an aggressive expansion program throughout the country. As we have in the United States, we will work diligently to become the first choice for the home in Canada. In addition, we continue to explore other international opportunities. We also plan to accelerate the growth of our Christmas Tree Shops and buybuy BABY store concepts and to continue to open new Harmon Face Value stores. At this time, we expect to open approximately 12 Christmas Tree Shop stores and several buybuy BABY stores in fiscal 2008. Through the efforts of our associates who strive to provide our customers with the very best possible shopping experience and with the cooperation of our business partners, we expect that despite the headwinds presented by the challenging economy, we will achieve our fiscal 2008 objectives, which will be outlined later in this call. I will now turn the call over to Steven Temares. Steve.
Steven H. Temares: Thank you, Len. Good afternoon, everyone and thank you for participating in this conference call. As Len said, our 2007 results just reported reflect certain challenges presented by macroeconomic conditions. However, in achieving industry-leading financial metrics, they also reflect the strength of our decentralized organization and the talent and dedication of our associates. While times are challenging, we remain focused on our company’s long-term goals and fully expect over time to benefit from the opportunities provided by the current macroeconomic environment to widen the gap between us and our competitors. We continue to test new merchandise initiatives throughout our stores and consistently strive to increase productivity of existing stores. Our bridal and gift registry business, as well as our online sales activities, afford us an important opportunity to attract new shoppers to the Bed Bath & Beyond experience. We are adding associates in key areas throughout our organization and implementing new systems at Christmas Tree Shops and buybuy BABY. As Len said, we just opened a new state of the art distribution center for Christmas Tree Shops and a new e-service fulfillment center. We continue to expand our business prudently while simultaneously focusing on controlling costs throughout our organization. Through a combination of a broad merchandise assortments at everyday low prices, superior customer service, merchandising innovations, information technology enhancements, and ongoing human resources development, we remain focused on continuing to increase our leadership position in home goods retailing, an industry that we believe will continue to experience consolidation. By taking the long-term approach to building the Bed Bath & Beyond, Christmas Tree Shops, buybuy BABY, and Harmon Face Values concepts, and by making the necessary investments in our infrastructure, we are enthusiastic about our long-term prospects. As we said, we believe we are not only weathering this macroeconomic environment but that 2008 will afford us the opportunity to take advantage of these times to be in a superior and stronger position with an enhanced ability to serve our customers’ needs and to compete more effectively when the environment improves. In summary, we believe we will be able to look back at this period as one affording exceptional opportunity to gain market share and improve our competitive position. Len commented earlier on the completion of our fiscal 2007 store opening program and on other initiatives taken to enhance our customer shopping experience, which include increasing the productivity of existing stores by expanding, remodeling and/or relocating a number of them. Including Canada, we expect to open approximately 50 to 55 new Bed Bath & Beyond stores in fiscal 2008. We also expect to expand in new and existing markets by opening approximately 12 Christmas Tree Shops stores, as well as by growing our buybuy BABY and Harmon Face Values operations. While we are accelerating the number of new store openings in these concepts, we are planning the number of Bed Bath & Beyond store openings to decrease versus prior years. The number of Bed Bath & Beyond stores we are planning to open permits us the flexibility to take advantage of real estate opportunities for additional stores that might arise from further retail consolidation. With our state-of-the-art Christmas Tree Shops distribution facility and new e-service fulfillment center both operational, we are in an improved position to support the growth of these businesses. We strongly believe in and are passionate about the strong growth potential provided by the merchandise offering in each of our retail concepts and the ability it provides for us to do more with our customers in the years ahead. As Len mentioned, we are happy with the performance of our first international store in greater Toronto, which we opened in December. We believe the Canadian market has outstanding growth potential for us and have signed or are in final documentation for approximately a dozen additional sites in Canada and we are actively negotiating another dozen or so. We look forward to an aggressive expansion program throughout Canada as we work to position ourselves as the first choice for the home for the Canadian customer. Turning to our fiscal 2007 performance, while we believe our recent operating results continue to set the standard for the home furnishings industry, we are not satisfied and we continue to work hard to achieve improved results over time and to remain focused on building an even more successful business over the long-term. For all of fiscal 2007, which was a 52-week year, net earnings per share were $2.10, compared with net earnings of $2.09 a year ago, which was a 53-week year and included a non-recurring charge of approximately $0.07 per share. In our fiscal fourth quarter, a 13-week period which ended on March 1, 2008, net earnings per share of $0.66 compared with net earnings per share of $0.72 achieved during the 14-week period ended March 3, 2007. Net sales for the 13 weeks ended March 1 2008 were approximately $1.9 billion, a decrease of approximately 3.1% from the fiscal fourth quarter of 2006, a 14-week period. Sales for the period were impacted by one less week in our final fiscal quarter and the fact that the week after Thanksgiving fell in the third quarter of fiscal 2007 compared to falling in the fourth quarter in fiscal 2006. Net sales for all of fiscal 2007, which was a 52-week year, were approximately $7 billion, an increase of approximately 6.5% from the prior fiscal year, which had 53 weeks. Comparable store sales for the fiscal fourth quarter of 2007 decreased by approximately 0.4%, compared with an increase of approximately 5.2% in last year’s fiscal fourth quarter. For all of fiscal 2007, comps increased by approximately 1% compared with an increase of approximately 4.9% in the previous year. Net sales and comp sales were negatively affected by the economic slowdown in general and by issues specific to the housing and mortgage industries in particular. In those areas of the country that have been reported as being the most significantly affected by these issues, notably Arizona, California, Florida, and Nevada, sales were noticeably weaker than in less affected areas. The gross profit margin decreased by approximately 200 basis points for the fiscal fourth quarter and by approximately 130 basis points for the full fiscal year of 2007. These decreases were primarily due to an increase in coupon redemptions associated with a heightened promotional environment, an increase in inventory acquisition costs, and a shift in the mix of merchandise sold as we continue to experience a higher percentage of sales of hard line goods. Selling, general, and administrative expenses for the fiscal fourth quarter were about $540 million, or 27.9% of net sales, compared with approximately $553 million, or 27.7% of net sales in the corresponding quarter a year ago. For the full year, SG&A expenses deleveraged by approximately 20 basis points. The SG&A ratios for the quarter and full year reflect the slower growth in net sales compared to a year ago. While we were slightly more promotional and deleveraged advertising expenses for the quarter and full year as a result of our increased distribution of advertising pieces in response to the heightened promotional environment, we remain cautious in our response to this environment and anticipate continuing the same approach going forward. Also contributing to the deleverage in SG&A for the quarter and full year were occupancy costs and other expenses partially offset by payroll and payroll related items, which include the prior year non-recurring pretax charge of $30 million related to 409A. As I said earlier, we continue to closely scrutinize all of our costs in an effort to manage expenses in light of the current economic environment, while not sacrificing the customer experience. While striving to achieve our growth objectives, we continue to exercise prudence in our expense management activities. Lower interest income in this year’s fiscal fourth quarter of $5.6 million versus $13.2 million a year ago is a result of lower cash balances, principally due to share repurchase activities in fiscal 2007. The company’s provision for income taxes for the fiscal fourth quarter was 34.8%. For all of fiscal 2007, the provision for income taxes was 35% as compared with our previous estimate of 35.7%. So to recap, our fiscal fourth quarter produced earnings of $0.66 per share compared with reported earnings of $0.72 per share in fiscal 2006 on a 3.1% decrease in net sales and a 0.4% decrease in same-store sales. For all of fiscal 2007, earnings per share were $2.10, with net sales increasing approximately 6.5% and comp store sales rising by about 1%. Again, fiscal 2007 and the fiscal fourth quarter had one less week than the comparable periods a year ago. We again want to thank our associates for their ongoing efforts to produce Bed Bath & Beyond's long-term success. Through their efforts, we look forward to overcoming the challenges presented in 2008 and to seizing its opportunities to satisfy our customers and by doing so, achieving our fiscal 2008 performance goals and widening the gap between Bed Bath & Beyond and our competitors. Ron, Ken Frankel, and Lisa Kaplowitz will be in their offices this evening, April 9th, to take your questions. I will now turn the call back to Ron, who will discuss our fiscal 2008 outlook and will have some additional comments with respect to fiscal 2007. Ron.
Ronald Curwin: Thanks, Steve. As you heard from Len and Steve, our fiscal fourth quarter results were in line with our January 3rd guidance. Reflecting the challenging and promotional business environment, following are the significant planning assumptions and our initial guidance for fiscal 2008. We will continue to assess our prospects as the year develops and may reflect any changes in our outlook in future quarterly guidance. One, we expect to open approximately 50 to 55 new Bed Bath & Beyond stores throughout the U.S. and Canada. Also, in order to enhance their productivity, we plan to expand, renovate, or remodel a significant number of domestic Bed Bath & Beyond stores in fiscal 2008. We also plan to open 12 new Christmas Tree Shops and several new buybuy BABY stores, as well as open Harmon Face Value stores and roll out additional Harmon Face Values and fine china departments within Bed Bath & Beyond stores. New store openings will occur throughout the year, with most in our fiscal second half. Two, we are modeling consolidated comparable store sales for both the first quarter and for all of fiscal 2008 to be relatively flat to slightly negative. We expect to see continued pressure in those markets most affected by the housing and mortgage issues. Three, we are modeling increases in consolidated net sales of approximately 4% to 6% for the first quarter and slightly stronger for all of fiscal 2008. Four, we anticipate continued pressure on our gross margin from increases in the cost of merchandise items purchased due to increases in raw materials, increases in the cost of goods sourced in overseas markets, and increases in coupons redeemed due to the ongoing promotional environment and a continuation of a trend of a shift in the mix of sales in favor of hard line goods compared with higher margined soft lines merchandise. Five, we also anticipate SG&A to deleverage as a result of increases in advertising costs, including postal and paper costs, and other costs with projected increases, which will cause SG&A deleverage based on our relatively flat to slightly negative comp store sales assumption. Six, we anticipate lower interest income from a year ago. Seven, we are currently estimating our full year tax rate percentage to be in the mid to high 30s, with continuing variability of as much as 200 to 300 basis points in our quarterly tax rates, as taxable events occur and tax exposures are reevaluated. Eight, we continue to make significant investments in our company to support future growth, to improve our infrastructure, and to further extend our competitive advantage over others in our industry. Capital expenditures for fiscal 2008, principally for new stores, existing stores refurbishment, and information technology enhancements, are presently being planned at approximately $265 million, compared with CapEx of approximately $358 million in fiscal 2007, which included the Christmas Tree Shops’ distribution facility and the e-service fulfillment center. Nine, depreciation has been estimated at approximately $175 million for fiscal 2008. Ten, we expect to continue to entirely fund our operations from internally generated sources. Eleven, the execution of our current share repurchase program considers current economic and market conditions, including but not limited to the liquidity of our auction rate security investments. Based on these factors and the significant planning assumptions previously provided, we anticipate Bed Bath & Beyond's earnings per share for all of fiscal 2008 will decline by a low double-digit to a mid-teens percentage from the $2.10 per share just reported for fiscal 2007. Our fiscal fourth quarter has historically been the least productive of any of our -- I’ll go back on that, excuse me. Our fiscal first quarter has historically been the least productive of any of our four fiscal quarters. Since first quarter net sales are the lowest of any quarter, relatively fixed costs and expenses tend to deleverage SG&A more than in any of the three succeeding quarters when net sales are considerably higher. Reflecting these factors, the business environment and other key planning assumptions, our fiscal first quarter model presently forecasts earnings per share of approximately $0.26 to $0.30 for the period ending May 31, 2008. As we have previously said, despite the pressure on earnings, we believe 2008 will afford us the opportunity to enhance our position as the industry leader and to expand our market share as we continue to invest in our company while providing a superior shopping experience for our customers. Before concluding this afternoon’s call, a few additional comments relative to the recently concluded fiscal 2007. One, cash and cash equivalents and investment securities as of March 1, 2008 approximated $550 million. This includes $327 million par value of auction rate securities less an estimated temporary valuation adjustment of approximately $7 million to reflect the current lack of liquidity of these investments. Since this valuation adjustment is deemed to be temporary, it did not affect the company’s earnings for the fiscal fourth quarter. As we stated in our Form 8-K filing on March 12th, due to current market conditions, these investments have experienced failed auctions. These failed auctions resulted in a lack of liquidity in the security, but do not affect the value of the underlying collateral of the security. All of these investments carry Triple A credit ratings from one or more major credit agencies and we believe that given their high credit quality, we will ultimately recover at par all amounts invested in these securities. We do not anticipate that any potential lack of liquidity in these auction rate securities, even for an extended period of time, will affect our ability to finance our operations, including our expansion program and planned capital expenditures. We continue to monitor efforts by the financial markets to find alternative means for restoring the liquidity of these investments. These investments are classified as non-current assets until we get better visibility as to when their liquidity will be restored. The classification and valuation of these securities will be reviewed quarterly. Two, the content and condition of our inventories are excellent and we continue to tailor them on a store-by-store basis to conform to the needs and desires of our valued customers. Merchandise inventories as of March 1 2008 were approximately $1.6 billion, or about $54 per consolidated square foot. Three, consolidated shareholders equity at March 1 2008 approximated $2.6 billion, which is net of share repurchases of common stock, which totaled approximately $102 million during the fiscal fourth quarter. This included the completion of the $1 billion share repurchase program authorized in 2006. At quarter end, the balance remaining of the program authorized last September was approximately $967 million. We continue to strive to maintain a capital structure that will enable us to take advantage of opportunities as they may arise. Four, for all of fiscal 2007, consolidated capital expenditures were approximately $358 million, mostly for new and existing stores, information technology, and supply chain costs. These included our new Christmas Tree Shops distribution facility and our new e-service fulfillment center. Depreciation for the year amounted to approximately $158 million. As a reminder, our next conference call to review operating results for the first fiscal quarter of 2008 will be on Wednesday, June 25, 2008. If you have any questions, Ken, Lisa, and I will be in our offices this evening, April 9th, to take your questions. As always, we very much appreciate your interest in Bed Bath & Beyond. Thank you for listening and have a pleasant evening.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for listening. You may now disconnect.